Operator: Ladies and gentlemen, welcome to the Julius BÃ¤r 2025 Full Year Results Presentation for media and analysts. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it is my pleasure to hand over to Alexander van Leeuwen, Head of Investor Relations. Please go ahead, sir.
Alexander van Leeuwen: Good morning, everyone. Welcome to the Julius BÃ¤r Full Year Results Call. I am Alex van Leeuwen, Head of Investor Relations. We are joined today by our CEO, Stefan Bollinger and CFO, Evie Kostakis. Today, in addition to the financial results presented by Evie, Stefan will also provide an update on the execution of our strategy as promised back in June. Before starting, I would like to flag the important information provided on Slide 2 of the presentation. It's now my pleasure to hand over to Stefan for his introductory remarks.
Stefan Bollinger: Thank you, Alex, and good morning, everyone. Thank you for dialing in for this full year results call and update on our strategy execution. Let me start by giving you my take on our 2025 results. Overall, 2025 was a good year with a strong underlying financial performance. It was also an important transition year for us as we redefined our strategy and started our transformation journey. And with all our efforts so far, I'm pleased that we are back to solid foundations with a positive execution momentum to deliver our midterm targets. First, a few comments on business performance. We're happy to report record high assets under management of more than CHF 520 billion, underpinned by solid net new money of CHF 14.4 billion, and that despite our ongoing derisking efforts. This further solidifies our position as the largest independent wealth manager internationally. On an underlying basis, operating income was up 6%, while costs were up only 1%, resulting in a 17% increase in pretax profit. Our underlying cost income ratio improved by a full 3 percentage points to 67.6%. This resulted in positive operating leverage for the first time since 2021. We also further bolstered our capital position with a CET1 capital ratio of 17.4%. Second, in 2025, we decisively addressed legacy issues and strengthened our foundations. We completed the credit review, upgraded our governance and renewed our leadership team. We also significantly simplified the organization, enhanced accountabilities and promoted disciplined entrepreneurship. And third, we successfully launched our new strategy and created great momentum in executing it. We empowered the organization front to back to fully focus on profitable growth, and we continue to improve operational efficiencies and advance on our technology priorities. We achieved what we planned for the year, and we are ready for the transformation ahead. I'll give you more color on the key milestones and the way forward a little later. And now I'd like to hand over to Evie for more details on the financials.
Evie Kostakis: Thank you, Stefan, and good morning, everyone. As usual, before discussing the results, I'll start on Page 6 with an overview of some of the key market developments in 2025 that provide the backdrop and context to our results. In Swiss franc terms, despite the tariff shock in April, stock and bond markets were up by mid-single-digit percentages with the Swiss market outperforming global indices. And in terms of FX moves, I would highlight that the dollar weakened by 13% versus Swiss franc. We saw further rate cuts across the board with the Swiss National Bank reducing rates in the first half by another 50 basis points to 0 and the European Central Bank reducing the main refi rate by a further 100 basis points. The U.S. Fed kept its rates steadfastly unchanged in the first half, before reducing in three 25 basis point steps in the second half. The third set of graphs on the bottom left of the page shows that the shape of the key yield curves continued to normalize for European and Swiss rates throughout the year and the 1- to 5-year belly of the U.S. yield curve started to flatten again in the second half. Finally, stock market volatility saw a massive spike in early April after Liberation Day in the United States, but then swiftly normalized down to lower levels again during most of the rest of the year. Moving on to Slide 7, which shows assets under management up 5% to CHF 521 billion after having been down 3% in the first half as the positive effects of the CHF 14.4 billion haul in net new money and the CHF 57 billion uplift in markets were partly offset by the steep weakening of the dollar to the tune of CHF 38 billion as well as the sale and deconsolidation of our onshore Brazilian business in H1. Monthly average AUM, important for the margin calculations, grew by 7% year-on-year to CHF 499 billion, and total client assets, including assets under custody, were up 4% to CHF 614 billion. Proceeding to net new money on Slide 8. Against the backdrop of continued derisking of the client book, the net new money reached CHF 14.4 billion by year-end or just shy of 3% annualized, essentially in line with our guidance at the start of the year. In terms of regional contributions from key markets based on client domicile, I would highlight Asia, especially our key markets, Hong Kong, India, Singapore and Thailand, Western Europe with a strong contribution from the U.K. and Ireland, Germany and Iberia, and the Middle East, particularly the UAE. After releveraging came to a halt in the first half, there was an initial amount of releveraging in H2, adding 0.6 percentage points to the net new money pace in H2 and 0.3% for the full year. This marks the first year of client leverage coming back in earnest after 2021 and is consistent with the normalization of the shape of the yield curves we saw in the market backdrop slide. So now let's go to revenues on Slide 9. As a reminder, as of 2025, adjusted operating income now excludes M&A-related impacts, the same way we adjust on the expense side. On that adjusted basis, operating income was unchanged year-on-year at CHF 3.861 billion. However, as the comprehensive credit review led to a significant increase in loan loss allowances in 2025, excluding the resulting net credit losses from operating income would result in a more meaningful overview of the underlying revenue development. As a reminder, we announced a CHF 130 million increase in gross loan loss allowances in May, a further CHF 149 million in November for a total of CHF 279 million which after taking into account net recoveries at the end of the year was reduced to net credit losses for the year of CHF 213 million. If we strip out those CHF 213 million negative revenues in 2025, then the underlying operating income showed a year-on-year increase of 6% to almost CHF 4.073 billion. Looking at the revenue composition and starting from the largest contributor to our revenue base, we see that net commission and fee income was up 5% year-on-year to CHF 2.314 billion, largely driven by the year-on-year increase in average AUM. Moving beyond commission and fee income, we saw a CHF 252 million decline in net interest income being more than compensated for by CHF 326 million increase in net income from financial instruments or trading income. NII was strongly impacted by the year-on-year decrease in interest rates by a mix shift to lower interest rate Swiss franc-denominated loans and slightly smaller treasury bond portfolio, a weaker U.S. dollar and to a lesser extent, the further shrinking of the private debt portfolio, which is now virtually completely wound down. As a result, while deposit expense fell substantially by 22%, on the asset side, interest income on the loan portfolio decreased by 29% and interest income from the treasury portfolio fell by 11%, resulting in NII of CHF 125 million. Against that, net income from financial instruments at fair value through profit and loss improved by 25% to CHF 1.608 billion, essentially all on the back of a 51% rise in treasury swap income or quasi NII as we like to refer to it. This was the result of a 28% year-on-year increase in average swap volumes to CHF 27 billion as well as higher average spreads. While income related to structured products and FX trading initially grew in the first 4 months of 2025, especially during the market volatility spike following the liberation Day announcement in early April, it then normalized to lower levels in the remainder of the year. On Slide 10, we regrouped the IFRS revenue lines in an alternative way with the aim to better reflect the three key business drivers, i.e., recurring income, interest-driven income and activity-driven income. For the definitions on how we derive this alternative split from the IFRS view, please refer to the appendix, and I note that the treasury swap income figures we use are based on management accounts. What this alternative view shows clearly is how the CHF 252 million year-on-year decline in NII has indeed been more than compensated by CHF 358 million higher treasury swap income. In other words, what we call interest-driven income, which is the sum of accounting NII and treasury swap income, actually increased year-on-year by CHF 106 million or 10% to almost CHF 1.2 billion. Recurring income grew by 5% to over CHF 1.8 billion, while activity-driven income was unchanged at just over CHF 1 billion. On Slide 11, we show the same, but in gross margin terms. The slight 1 basis point decrease in underlying gross margin to 82 basis points is essentially the result of a small, almost 1 basis point increase in the interest-driven gross margin to 24 basis points. This was more than offset by a small, slightly more than 1 basis point decrease in the activity-driven gross margin to 21 basis points. The recurring gross margin remained at 37 basis points on a rounded basis. The exit gross margin in the last 2 months was 77 basis points, of which just over 37 basis points from recurring, slightly over 24 basis points from interest-driven income and around 15 basis points from activity-driven income, as client activity slowed down towards the end of the year from the more elevated levels seen in September and October. By the way, in the appendix, you can find an overview of the half year gross margin development, including on the basis of the IFRS revenue split. Now let's move on to operating expenses on Slide 12. While, as I showed earlier, underlying revenues were up 6% year-on-year, costs were up only 1% to CHF 2.808 billion, mainly driven by somewhat higher personnel expenses being largely offset by a decline in general expenses, partly as a result of internalizations of 184 formerly external staff. Costs include CHF 40 million cost-to-achieve related to this year's cost saving program, of which CHF 31 million in personnel restructuring costs compared to CHF 24 million included a year ago. Personnel costs increased by 4% to CHF 1.848 billion, in part due to a rise in incentive and performance-related costs, a small increase in pension fund-related expenses and the slightly higher severance payments. General expenses came down by 7% to CHF 714 million, while legal provisions and losses increased by CHF 12 million to CHF 56 million. Excluding provisions and losses, general expenses decreased by 9% to CHF 658 million, mainly on the back of stringent vendor management, leading to a reduction in consulting and legal fees and lower spend on external staff. Depreciation and amortization went up by 4% to CHF 246 million, following the rise in capitalized IT-related investments in recent years. As a result, the expense margin improved by 4 basis points year-on-year to 55 basis points and the underlying cost-to-income ratio by 3 percentage points to 68%. In other words, a satisfactory return to driving operating leverage in the business. As usual, we also show the approximate split of expenses by currency, and it is encouraging to see that despite the significant year-on-year strengthening of the Swiss franc, the share of Swiss franc denominated cost has actually come down year-over-year. The share is now 55%, whereas a year ago, it was 56%. The sensitivity to changes in the key FX rates is largely unchanged to what we showed last June. A 10% weakening of the dollar with ceteris paribus and not including any potential mitigating actions, impact our cost-to-income ratio by approximately 2 percentage points. On Slide 13, we provide some statistics on our now completed 2025 cost-saving program. As you may recall, last February, we announced we would extend the pre-existing program and aim to save another CHF 110 million gross in 2025. In the end, we overachieved on this by CHF 20 million and delivered CHF 130 million of gross cost savings on a run rate basis by the end of 2025, of which CHF 60 million were already reflected in the full year results. Furthermore, initially, we had budgeted around CHF 65 million of cost to achieve, whereas ultimately, we were able to limit that number down to CHF 40 million. And as a reminder, the main measures applied were the simplification of the organizational structure, the optimization of the front operating model as well as a significant reduction of non-personnel spend. And finally, just to reconfirm that in the strategy update, we also announced further structural efficiency improvements also for CHF 130 million with a phased implementation by 2028 and against estimated cost-to-achieve of around CHF 65 million. The incremental P&L benefit of these further measures will be back-end loaded as the cost-to-achieve will mostly be booked in '26 and '27 and the improvements realized mostly in '28. Slide 14 summarizes the profit development. IFRS net profit was impacted by the nonrecurring release of tax provisions in 2024, the increase in loan loss allowances following the completion of the credit review in '25 and the mostly noncash impact from the sale of Julius BÃ¤r Brazil earlier in 2025. But on an underlying basis, i.e., excluding M&A-related items and the net credit losses, it is pleasing to see meaningfully positive operating jaws with operating income up 6% and expenses up 1%, resulting in 17% year-on-year increase in underlying pretax profit to CHF 1.27 billion, and the underlying pretax margin improving by 2 basis points to 25 basis points. As the tax rate normalized from 2.9 percentage points in 2024 to 17.2%, underlying net profit was just CHF 1 million higher at CHF 1.05 billion. Due to a very significant buildup in capital, as we will see a few slides later, return on CET1 on this basis was 28% compared to 32% a year ago. Our forward tax guidance for the new strategic cycle is unchanged at between 18% and 20% and takes into account the currently expected impact of the implementation of the OECD minimum tax rate in different jurisdictions. On to the balance sheet on the next slide. Our balance sheet remains highly liquid with a loan-to-deposit ratio of 62% and one of the highest liquidity coverage ratios in Europe at 261%. As a large portion of the balance sheet are denominated in dollars, the year-to-date weakening of the dollar against the Swiss franc had a meaningful impact on how those balance sheet items developed in Swiss franc terms. For example, the loan book increased by 1% or CHF 0.5 billion to CHF 42.1 billion. But on an FX-neutral basis, the increase in loans was 5% or plus CHF 2.3 billion. And deposits declined by 3%, minus CHF 1.9 billion to CHF 66.8 billion. But on an FX-neutral basis, deposits actually increased by 3% or plus CHF 2 billion. Turning to the capital development on Slide 16. The Basel III final standard was fully implemented in Switzerland as of the 2025 financial year. And with this full implementation, the Swiss framework went significantly further than the ones currently applicable in, for example, the Eurozone, the United Kingdom and the United States. In the graph on this slide, we show for end of 2024, the CET1 capital ratio pro forma for Basel III final at 14.2%. And then the development from there to the 17.4% print at the end of 2025. CET1 capital grew by 10% to CHF 3.9 billion as the combined benefits of net profit generation and the continued OCI pull-to-par effect more than offset the impact of the dividend accrual. At the same time, risk-weighted assets decreased by 10% to CHF 22.7 billion, mainly on lower operational risk positions as the 2015 U.S. case dropped out of the calculation as well as lower credit risk positions, partly due to a decrease in the treasury portfolio and partly as a result of a further wind-down of the private debt loan book, which typically carries a risk weighting of 100%. So as a result, the CET1 capital ratio improved on a like-for-like basis by around 320 basis points to 17.4%, almost fully restoring capital levels to pre-Basel III final levels in the space of just 12 months. The risk density was 21% at the end of 2025. However, our risk density guidance for the new cycle is unchanged from the 22% to 24% range we gave in the June strategy update. In line with our dividend policy, where the dividend is the higher 50% of adjusted net profit or last year's dividend per share, the proposed dividend is unchanged at CHF 2.6 per share. And as we also discussed extensively last year, any additional capital distribution in the form of future buybacks remain subject to regulatory approvals from our home regulator, FINMA. We continue to have an active and constructive dialogue with them, but it is ultimately the regulators' time line. Finally, on Slide 17, a quick review of the development in the Tier 1 leverage ratio. As a result of the CET1 capital development and the net impact of the CHF 350 million AT1 call in June, and the $400 million A Tier 1 issuance in February, Tier 1 capital increased by 4% to CHF 5.5 billion. The leverage exposure increased by 3% to CHF 111 billion, basically in line with balance sheet growth. As a result, the Tier 1 leverage ratio was essentially unchanged at 4.9%, comfortably above the regulatory floor of 3%. With that, it is my pleasure to hand the microphone back to Stefan for an update on the strategy execution.
Stefan Bollinger: Thank you, Evie. Let me start with a few comments on our financial results in the context of our 2026, '28 midterm targets. First, on net new money. Overall, there was positive momentum last year across all our regions and client segments. We aim to gradually improve the pace to 4% to 5% per annum by 2028. Second, on cost income ratio. We have made excellent progress last year with an improvement of over 300 basis points to 67.6%. We're starting our new strategic cycle with front-loaded investments for backloaded returns and remain committed to achieving a cost income ratio of below 67% by 2028. And third, on capital. We significantly improved our CET1 ratio to 17.4%. And given the capital generative nature of our business model, we reiterate our midterm target of a return on CET1 of above 30% with a 14% underpin. Overall, last year's results are a testament to the resilience of our franchise, the trust of our clients and the commitment of our people. This sets us well on course to achieve our midterm targets. Let's now look at 2025 in the context of our overall transformation journey. It was a crucial transition year for us. The focus was twofold. On one hand, to address pressure points and strengthen our foundations, and on the other hand, to define and start executing our new strategy. As I said in my introduction, we delivered on both of those objectives. To give you a few highlights. First, on strengthening foundations, we made significant progress in derisking. As part of that, we defined a new group risk appetite framework. We also upgraded our risk organization and carved out separate compliance function. And last but not least, we completed our credit book review, which allows us to turn the page and fully focus on our business. We enhanced our leadership structure with a smaller executive Board and the newly introduced global wealth management committee, including key leadership appointments. We also reinforced accountability and ownership across the bank by enhancing the first and second line of defense, introducing a new front operating model and the new compensation framework. Now on to strategy execution. We sharpened our high net worth and ultra high net worth client proposition, and we are launching a comprehensive growth agenda. More to come in a minute. On the cost and efficiency front, we implemented our cost program and overachieved the target set for 2025. And on technology, we launched the IT infrastructure renewal project in Switzerland and delivered on time our new global finance platform. Now looking ahead, let's talk about our new strategic cycle. This is what I believe matters most. It comes down to a few simple transformational imperatives. First, on profitable growth. It's about reviving our organic growth engine to our full potential. Second, on cost, the imperative is to instill everyday cost consciousness in everything we do. Third, on risk and compliance. It comes down to disciplined entrepreneurship fully in line with our core wealth management lane. On the technology front, it's about scaling and harmonizing our infrastructure to deliver the best digital experiences. And finally, it is critical to drive our culture transformation and promote performance and ownership. Over the last few months, we've been talking a lot about cost and risk. Today, I want to talk about growth. We have a comprehensive agenda which cover all the relevant dimensions: productivity, client propositions, product access and geographic footprint. And everyone has a role to play, regions, products and group functions. With everything we did last year, we have set the stage to execute on it. There are three main components driving that execution as we enter our new strategic cycle. First, it's about front productivity and growth mindset. We continue to operationalize our new front operating model, including processes and incentives. Under the umbrella of ease of doing business, we are streamlining processes supported by digital tools for relationship managers. A good example is the rollout of our new wealth navigator. And on the talent front, we're doubling down on internal mobility and career development programs. We are scaling up our associate relationship manager program and completed our first ever summer internship program. Second, on regional and product priorities, starting with our home market, Switzerland, we see significant further potential. It comes down to leveraging all the great capabilities and expertise we have on the ground and developing new client solutions tailored to local needs. Since the beginning of the year, we have strong leadership in place with Marc Blunier and Alain Kruger. On Region Asia, our second home market. This year marks the 20th anniversary of our local presence. We have a very strong position there and continue to grow, especially with ultra high net worth clients through our hubs in Singapore and Hong Kong. We are well positioned to also capture opportunities arising from a changing geopolitical landscape by leveraging our global scale, independence and Swiss heritage. An example is our Lat Am business, which delivered positive net new money for the first time in several years. And with the arrival of Antonio Murga to lead LatAm, we're looking forward to further grow this franchise. And now on products. Our new Global Products & Solutions unit as well as our independent CIO office are now fully operational and already creating tangible impact. We see strong traction on structured products with a significant increase in volumes. We're also expanding alternative investments and high-end advisory and discretionary mandates. Third, to deliver on our growth agenda, we need the regions, products and group functions to come together. To do so, we are launching a 3-year dedicated revenue and growth program to support execution and ensure focus on organic growth. We can't talk about growth without talking about clients. What we see is renewed energy, strong momentum and continuous engagement with our clients. It is clear when the regions, products and functions come together, we unlock the power of our franchise. I've seen this firsthand having personally met with more than 1,000 clients since I joined. In summary, our transformation is about striking the right balance across growth, cost and risk. On cost, we will further optimize our front-to-back operating model and simplify our processes and IT landscape. We'll also continue embedding cost consciousness and ownership in the day-to-day business. I'm convinced that our designated Chief Operating Officer, Jean Nabaa, with his track record in driving operational excellence will bring additional momentum to our efforts. On risk. We are just about to complete the rollout of our bank-wide culture and conduct awareness program. And our designated Chief Compliance Officer, Victoria McLean, will focus on operationalizing our new compliance function. Before we go into Q&A, let me reiterate my key takeaways. We have delivered a strong underlying performance, a testament to the strength of our franchise and overall transformation momentum. 2025 was a crucial transition year for us. We addressed legacy issues, strengthened our foundations and mobilized the organization around the execution of our strategy. We have a clear growth agenda focused on reviving our organic growth engine. We have a plan, we have momentum, and we are on track to achieving our midterm targets. With that, let's transition to Q&A.
Operator: [Operator Instructions] Our first question comes from Amit Ranjan from JPMorgan.
Amit Ranjan: The first one is on the dedicated 3-year revenue and growth program that you talked about, what are some of the key metrics that you are looking here to measure progress? And if you could also talk about the phasing of this? Is it mostly a 2028 measurement? Or there are some guideposts in between? And in that context, if you could please also talk about your net new money expectations for 2026 and adviser hiring expectations after the decline that we have seen in 2025?
Evie Kostakis: Amit, thanks for the questions. Let me start with the second batch of questions on net new money and RM hiring. So first, on net new money. Last year, despite derisking and the year of, I would call it, transition, we were able to bring in CHF 14.4 billion of net new money or 2.9% on an annualized basis, pretty close to what we thought we would do and what we said we would do at the beginning of the year at 3%. When I look at 2026, we aim to do a bit better than that, but please do not forget that our midterm targets stipulate that we will gradually improve to the level of more than 4% by 2028. And then on the RM hiring front, last year, we hired 120 RMs on a gross basis. We intentionally shifted some of the hiring into early 2026 to align with both bonus cycles and onboarding readiness. You're right in that we did have a decrease in the net number of RMs. That's due to the sale of Brazil, the intensification of low performer management and natural attrition, so the net number ended up lower. However, we are planning to hire more than 150 RMs this year. And hiring momentum has picked up. In January, we saw 16 new RMs join with another 8 hires already signed. And as I said, we have the ambition to hire 150 plus this year, focused on our key strategic markets and always subject to strict quality criteria. I think we're quite confident in our ability to attract top talent. We've shown it again and again. We have a strong employer brand. We're dedicated to RM enablement, and I think people appreciate the performance-driven culture.
Operator: The next question comes from Benjamin Caven-Roberts from Goldman Sachs.
Benjamin Caven-Roberts: Just actually one for me, please, on the cost income. If you could talk a little about how you expect the cost income to develop into 2026. You mentioned the fact that there is the CHF 130 million of savings targeted with cost-to-achieve mostly front-loaded and savings largely back-end loaded. But I just wanted to check how should we think about progress on cost and efficiency there.
Evie Kostakis: Good question, Ben, thank you, and good morning for the question. In the second -- I think we didn't answer Amit's second question. So Stefan, over to you.
Stefan Bollinger: Yes. Amit, the revenue and growth program specifically addresses the organic growth dimension and provides a structural central framework for systematic sales management, pricing and product adoption, think discretion mandates, high-end advisory mandate, structured products, alternatives funds lending and so forth. If you think about how this is then going to play out, an obvious example is our existing seasoned RMs and giving them the tools to deliver growth. This will be a combination with the things I mentioned around products, but also ease of doing business is an important component of that.
Evie Kostakis: And then going back to your question, what I would say is that based on an 80 basis point gross margin as an input factor and assuming the other key input factors provided at the strategy update in June, including reasonably normal market performance, AUM and no big change to the initial input factor of a dollar exchange rate at spot rate, we would from today's perspective expect to land at levels slightly higher than 2025 underlying, on track towards our target of less than 67% by 2028. The non-steerable cost growth as shown in the cost-to-income ratio walk for the '26 to '28 cycle on the strategy update is more front loaded. You might recall that was around 6 percentage points. The benefits of the further efficiency improvement program will be more back ended in 2028, plus the cost-to-achieve needed to realize those improvements will be booked mostly in '26 and '27 and then fall away in '28. And therefore, the resulting net benefits will normally only start to come through in '27 and more fully, I would say, in '28. So in short, in the near term, overall, a slight upward pressure on the cost-to-income ratio and then a clear drop towards 67% or lower in 2028. And as a reminder, again, this is based on an input factor of 80 basis points gross margin and a USD 0.80 exchange rate against the Swiss franc, and we're already about 4% weaker than that right now.
Operator: The next question comes from Anke Reingen from RBC.
Anke Reingen: Just one, please. Just on the buyback. Basically, your commentary says it's for FINMA to decide on the share buyback. Sorry to be wanting to be precise on the words, but does that basically mean you requested for the buyback and you're just waiting for FINMA to confirm? And then secondly, on client releveraging, so you saw a bit more pickup in releveraging here. Do you think that's something that's going to continue into the start of the year, obviously, a function of markets? Or is it like not something we can extrapolate?
Stefan Bollinger: Thanks, Anke. On the share buyback question, you may recall that in November, we talked about some conditions still to have to be in place, and we pointed out things like the Chief Compliance Officer only arriving at the end of this month. So we're not yet in a position to ask for a share buyback.
Evie Kostakis: And on the second question, Anke, we were pleased to see releveraging come back in earnest to the tune of CHF 1.7 billion in 2025. This was -- we saw some releveraging, particularly in the low-yielding Swiss franc, including from clients in emerging markets and Asia, but also on the euro side as well, less on the dollar where rates remain still quite high. We don't know now with the appointment of the new Governor for the Federal Reserve, whether rates will come down faster on the U.S. dollar than we have expected. But if we continue to see yield curves normalize, and if we continue to see relatively benign market action, then I don't see any reason why we shouldn't see a continuation of releveraging. But just as a reminder, in terms of our midterm planning, we have factored in stable loan penetration at current levels of around 8%.
Operator: The next question comes from Hubert Lam from Bank of America.
Hubert Lam: I've got three questions. Firstly, on RMs, I saw that you gave us a guidance on the gross RM hires. But can you talk about RM attrition? Are you seeing more turnover there? Are there -- has there been any unwanted departures and you should expect more to come this year as -- once bonuses are paid and new incentive schemes are put in place? Second question is, can you give us also an update on the timing of the Swiss IT project, the time line, implementation and the cost around that? And lastly, I have a question around flows and derisking. Evie, I know you gave guidance for this year around flows, but does that imply also some further client derisking? Or is that process largely over last year?
Evie Kostakis: Hubert, thanks for the questions. Let me start with the RMs. I mean we did have a net decrease in RMs, as I mentioned in Amit -- to Amit's question earlier on. That was, to some extent, a result of the intensification of local management that was part of the cost program. We also had some regular attrition as we do on a yearly basis. We had the sale of Brazil as well, where 28 RMs left the platform. So I would say that last year was indeed a year of decline in RMs. But in our planning, we are factoring in a slight increase of RMs year-on-year from '26 to '28 going forward, including hiring about 150-plus RMs every year. On the IT project, time line, implementation and costs, as Stefan mentioned, we've embarked on this journey to replace our core infrastructure in Switzerland. We hope to do this in a time-boxed approach, so in the next 3 years, recognizing that there's always risks to delays and all the costs associated with that core infrastructure renewal are embedded in our cost-to-income ratio targets for 2028. And then I think your other question was on derisking. I mean, client risk management, as we have said in the past, is an ongoing exercise in wealth management, particularly as the geopolitical landscape evolves. So there will always be some client risk management that we do. And indeed, in the last couple of years, we've done more than you would do on a usual basis. As I said, we aim to do better than last year in terms of net new money this year and to gradually improve our net new money growth potential to 4% to 5% by 2028.
Operator: The next question comes from Benjamin Goy from Deutsche Bank.
Benjamin Goy: Two questions please from my side. So first on Asia, trends look actually very positive. So maybe you can comment a bit specifically on this important region for you. And then secondly, your cost/income ratio, as you mentioned, made significant progress in '25, and it was also better than expected. Clearly, there were some headwinds like currency. Nevertheless, just trying to understand where did you overperform versus initial expectations.
Evie Kostakis: I'll take the cost/income ratio question. So I think we had said at the November IMS that we expected to land the year at less than 69% on an underlying basis. We ended up doing a little bit better than that. We ended at 67.6%. There was a pickup though in costs. So I think November to December, the cost-to-income ratio was around 75%. There are some seasonal costs that came in. They were just a little bit less than what we expected. So I would say that it's mostly a cost-driven beat compared to that initial guidance. Then Stefan, do you want to take the Asia question?
Stefan Bollinger: Sure. Look, in Asia, we had a strong year, and I think there's a very positive momentum. As you know, there was a flurry of IPO activity, particularly in Hong Kong with over 100 IPOs last year. And in these IPOs, there's always a lockup period until clients actually get the liquidity, which will happen in the coming months and years, and this will bode extremely well for our business. And I feel we're very good, well positioned to capture those opportunities.
Benjamin Goy: And do you see trading activity from clients improving as well?
Evie Kostakis: I think -- I guess your question is what we've seen so far in January, right, with all the turmoil we've seen in the precious metals market.
Benjamin Goy: Yes.
Evie Kostakis: Well, indeed, we have seen a notable pickup in activity in January, as you would expect, given the turmoil in the markets.
Operator: The next question is from Jeremy Sigee from BNP Paribas.
Jeremy Sigee: These are both follow-ups actually. So the first one links to your last comment about transaction income. I just wanted to check, you mentioned the 80 bps sort of gross margin guideline or plan assumption. Are you still happy with that versus the exit rate that you mentioned, which was lower? Is 80 bps still a reasonable expectation? And then second clarification, again, on the adviser numbers, you said that on a net basis, you're expecting slight increases in RMs year-on-year in '26 onwards versus quite meaningful gross hires. So by implication, you're assuming quite chunky attrition or performance management of advisers. I just wanted to check that's the right understanding.
Evie Kostakis: Jeremy, thanks for the question. Let me start with the second one. In 2025, we didn't indeed have higher overall attrition than we usually have on a year-on-year basis, and that was a result of all the factors that I discussed before. Of course, every year, we hire on a gross basis, but we also have some natural attrition. And that natural attrition is in the single digits percentage-wise on a normal basis. Then on the 80 basis points input factor, what I can say is that our recurring margin at 37 basis points is, I think, a pretty good starting point. It's going to be -- of course, we want to get that up, but it's going to be a slow grind towards 2028. Then assuming on interest-driven income, assuming stable balance sheet structure and stable AUM, we think 24 basis points is a reasonable assumption for interest-driven income. And then the hardest one to forecast always is activity-driven income. It was 15 basis points in November and December. For the half year, it was 19 basis points. For the full year, it was 21 basis points. In January, we've seen a strong start to the year. So I think that's kind of the piece that's the hardest one to forecast.
Operator: The next question comes from Mate Nemes from UBS.
Mate Nemes: I have two questions, please. The first one would be on net inflows. So it looks like in November, December, we've seen some acceleration from the July, October period. And given the derisking of client base, given the performance management in the RM side, you seem to be off set up actually for some acceleration in net new money in '26. I was just wondering, based on recent trends, where do you expect net new money to drive mainly the group numbers, where do you expect really good momentum in influence? That's the first question. The second question would be just a follow-up on the Sphere Swiss Core booking platform replacement and modernization. Could you give us a sense what part of the overall spending will be flowing through the P&L and what could be capitalized?
Evie Kostakis: Thanks for the question. Let me start with the second one. Typically, we capitalize around 70% of our change the bank and expense the remainder. On net inflows, indeed, we did see an acceleration in November and December in that 2-month period, we annualized net new money at 3.2%. As I've said, I think, quite often in the past, the net new money is a very volatile time series. So you should not extrapolate any 2-month, 4-month or 1-month number. We do plan to do better than what we did in 2025 and 2026 and reiterate that we target a 4% to 5% increase by 2028.
Operator: The next question comes from Stefan Stalmann from Autonomous.
Stefan-Michael Stalmann: I have two, please. The first one on your new compensation framework. Could you maybe outline in general terms what has changed compared to the previous one? And maybe also if you had applied hypothetically this new compensation framework in 2025, would that resulted in higher or lower compensation expenses? And the second question on a regulatory topic. There's obviously quite a lot of debate in Switzerland, among others on the treatment of software assets in CET1 capital. And it now looks as if maybe the government is going to a potential outcome where there's partial deduction as opposed to full deduction on CET1. Would you expect that to actually have a benefit for you going forward?
Stefan Bollinger: Thank you, Stefan. I would say on the compensation framework, the main purpose was twofold. First, to create accountability and ownership of the first line of defense and then make sure that they do the right thing from a risk point of view. Think about how we think about compensation for clients with higher reputational risk, more credit intensity and other things. And on the other hand, the revision of the compensation framework was done to incentivize our RMs to deliver organic growth. As you say, we are now going through this compensation cycle. And of course, time will tell what the results will be, but the early indications are very positive.
Evie Kostakis: Stefan also from my side. I guess you're referring to the proposed amendment of the 2 big to fail regime. But let me remind you that's mainly directed to SIPs. As we aren't one, we do not expect any substantial impact on our regulatory capital and liquidity. We already treat software as an intangible asset. And consequently, we deducted from CET1 capital, as you know. Regarding DTAs, there's no tax loss carryforwards that we have remaining on the books as of today, which we -- which were previously deducted from capital. I would say our CET1 is, therefore, already of high quality.
Operator: The next question comes from Nicholas Herman from Citi.
Nicholas Herman: I have 3 questions left, please. Just firstly, on your targets, you said that you are firmly on track to achieve the 2028 or medium-term targets. Just curious, is that a reference to the much higher revenue power of the business on the back of higher AUM and strong markets last year? Or is it also a reference to the fact that you are ahead of your transformation process? Secondly, on risk density, other than deleveraging and maybe perhaps some increased investment into the treasury portfolio, are there any other factors expected to drive the risk density higher from here from 21% to the guidance of 22% to 24%? And then finally, on your swap volumes, I think you said CHF 27 billion, just curious how you expect that to trend from here, please?
Evie Kostakis: Nick, thanks a lot for the questions. Let me start with the swap volume. So it was around CHF 27 billion in 2025, up from roughly around CHF 21 billion in 2024. That's primarily driven by our excess funding position primarily in dollar deposits. Sometimes there's some seasonality in that if we issue, for example, term deposit notes from our markets business. So I think you can sort of model how we think about that based on the 24 basis points interest-driven income guidance we've given and the interest rate sensitivity we show in the appendix of the presentation. On risk density, we do stick to our guidance of 22% to 24%. It's on the credit side of things, again, we're assuming stable lending penetration. So loan growth pretty much tracking AUM growth. Operational RWAs, we've had the big U.S. case drop out of the operational loss database at the end of 2025 and we don't see any other large cases dropping out before 2029. And then, of course, you have the markets RWA, which is more seasonally driven. So I think we stick to 22% to 24%. Yes, I would say that it's more likely to be closer to 22% than to 24%, particularly if you take into account the fact that we're also managing down the CHF 0.7 billion portfolio that we announced in IMS, which carries a higher risk density.
Stefan Bollinger: And Nick, to your comment that we are firmly on track in terms of the midterm targets. What I was referring to is that when we announced our strategy last year in June, we still had a lot of wood to chop. We had to complete the credit review. We had to hire a new Chief Compliance Officer, implement a new risk appetite framework, new compensation framework and so forth. What I meant is that having made all these changes and entering our 2026, '28 strategic cycle, we feel very confident that we have made the changes necessary to have the right conditions to reach those targets.
Operator: [Operator Instructions] The next question comes from Giulia Aurora Miotto from Morgan Stanley.
Giulia Miotto: I have two. The first one, going back to the core banking system change in Switzerland. And when is the bulk of this project happening? So is it in '26 or '27? I'm referring to basically the migration of clients. When do you expect that to start? And then secondly, on the FINMA discussion, any color that you can share with us in terms of what FINMA is waiting for essentially? What are the next deliverables? And is there any time line? Would it be realistic to expect the second half of this year to see the end of this enforcement action?
Evie Kostakis: On the second question, there's no migration of clients happening in '26 or '27, probably '28 if everything is on track.
Stefan Bollinger: And on FINMA, look, we are just waiting for the enforcement proceeding to be completed and this thing can take time. I would say that our interaction with FINMA and all our other regulators is very active, proactive, transparent, and we feel we're making good progress. We will take a little bit more time.
Operator: The next question comes from Nicolas Payen from Kepler Cheuvreux.
Nicolas Payen: I have two questions, please. The first one would be on the credit recovery that we saw in H2. Just wondering if it's final or we should -- we could expect something more going forward? And then a follow-up on the net inflows contribution. Could we have the split between seasoned RM and newly hired RM, please?
Evie Kostakis: Sorry, your second question was how many seasoned RMs versus RMs business case? Well...
Nicolas Payen: Split regarding net inflows contribution between seasoned RMs and newly hired RMs, please?
Evie Kostakis: Super. Thank you. So roughly about 70% of the net new money call came from RMs and business case with 30% coming from the seasoned RMs and RMs on business case represent roughly 31% of the population of RMs, which is the highest proportion of RMs on business case we've had in 6 years. So I think that bodes well at least for that portion of net new money generation in the coming quarters. And then on your question on credit recoveries, yes, the bulk of the credit recovery was from the 2023 largest private debt case. However, there were a few others. I would say that the vast majority of the 2023 case is already in the books.
Operator: The last question comes from Tom Hallett from KBW.
Thomas Hallett: Can you just remind us what your exposure to China is in terms of AUM and revenue, please? And then secondly, I'm just trying to reconcile the kind of strong performance in costs with your relatively downbeat assessment of the cost-income ratio. I was wondering if you could kind of bucket the moving parts in costs into kind of the underlying inflation rate, the cost saves and the investment rates and those related to compsn?
Evie Kostakis: Tom, thanks a lot for the questions. Let me start with China first. So it's Chinese domicile clients are roughly more than 1/4 of our total AUM base. So you can make your assumptions on gross margin and work out revenues. This is something we don't disclose, obviously. The second point on cost-to-income ratio, you characterized as downbeat. I would not characterize it as downbeat. I would characterize it as realistic. So we said that some of the investments, the non-steerable investments that we talked about in the June strategy update will be front-loaded. And that was roughly 6% in cost-to-income ratio terms across the '26 to '28 cycle. Then we have non-steerable investments that will power the growth in terms of the revenue and growth program that were around 3.5 percentage points, leading to an uptick of 6 percentage points in terms of additional revenue and cost-to-income ratio terms for '26 to '28. What we said is that some of these non-steerable investments will be front-loaded in '26. And therefore, that's why we're giving realistic guidance on where we'll land on the cost-to-income ratio in '26.
Stefan Bollinger: Just to clarify, our Asian assets are over a quarter, not just China.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to the management for any closing remarks.
Stefan Bollinger: Thank you all very much for your engagement and your questions. Julius Bar is now stronger, simpler and fully focused on the future. We'll be back with our next update at the IMS in May. The IR team is available offline in case of further questions. Thank you all and have a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.